Operator: Good day, and welcome to the Hochschild Mining Half Year Results Webcast and Conference Call. At this time, I would like to turn the conference over to Ignacio Bustamante, CEO. Please go ahead.
Ignacio Bustamante: Thank you, Katy. Good afternoon, everyone. This is Ignacio Bustamante, and with me is also Ramón Barúa, our CFO, and also Charlie Gordon, our Head of Investor Relations. So thank you very much for joining us for our 2021 interim results presentation. If we could go straight to Page 3 of the presentation, the key highlights for 2021 have been the following. On the production front, we are on track to meet our 31 million to 32 million silver equivalent ounces target. And in the first half of the year, we were able to obtain all in sustaining cash cost of $13.2 per ounce of silver, which is below our 2021 guidance of between $14.1 and $14.5 per silver equivalent ounce.  On the financial front, Ramon will get into more detail later but the key figures are very positive, very strong. You can see revenues up 70% to $395 million, EBITDA up 146% to $199 million and the cash balance is up 11% to $257 million. And finally, on the exploration and business development front also very positive news, Inmaculada continues doing very well. We are announcing an addition year-to-date of about 410,000 ounces of gold at an equivalent grade of 10.6 grams per tonne, which is a fantastic discovery and still with plenty of upside in that area. We have also been obtaining further drilling results, high grade at Snip project. You may recall that our option expires in October. So we'll talk about Snip a little bit more during the presentation.  And finally, we have announced our rare earth capital market presentation for September 8, and we are also looking forward to that. So as you can see, a very strong financial rebound from a COVID-impacted 2020. If we move to the next slide, Page 4. You have probably seen that we just published our 2020 sustainability report recently. If you haven't done so, I really encourage you to read it. It's on our website.  Moving to the right-hand side of that chart, you can see safety performance. Safety is a top priority for the company. You can see there in the chart, the blue dots, how we have been performing since the IPO, in which we're at about 7.6 and now we have taken into the low 1s in the past 4 years. And since 2017, we started monitoring another one, which is in green, which is the high potential event that is also showing a very positive trend. Just for information, the safety KPS excludes the June 2021 a bus accident in line with the guidance that are present or established from the International Council on Mining and Metals and also based on our internally approved Hochschild protocols.  We have also launched a new tool that is SEGU called score, which is very similar to the ECO score that basically takes into account many different factors in addition to the frequency, severity, the typical measurements in safety and recruit orders such as inspection behavior audits is a scale from 1 to 10. We have started monitoring that, and we are very happy with the fantastic help that, that tool is going to provide to us and to our management and the operations.  And finally, on safety, one of the critical things that we have in safety tends to be the risk perception and the safety culture. So we are working to develop a tool that is going to allow us to significantly increase or improve the perception of risk and the behaviors of our people. It's a long-term project, but we are expecting to implement it during the second half of the year.  If we move to the next page, Page 5, also some highlights on environment. We continue monitoring and making good progress on our ECO score. We are, for the first half of the year, at 5.6 out of 6. Inmaculada and San Jose have obtained a perfect score for the first half of the year with 6. We continue to show improvements in reduced water consumption, reduced solid waste generation. We're doing an external certification of our ECO score with and also our carbon footprint. And we are working with consultants we have appointed to manage our cargo disclosure project and the transfer on climate-related financial disclosures, and we're also developing our net zero carbon strategy.  On the people and culture, as you can imagine, the key priority continues being COVID, and we continue strictly monitoring our COVID protocols. Also, we continue to actively promote diversity and inclusion initiatives through several programs in the company and some results of that are that we have run 4 out of 16 extractive companies for gender equality in Latin America. And we have also improved 43 places from 2019 in the  ranking, and we currently are placed second among all mining companies in Peru.  And finally, on communities, we continue monitoring closely the situation because with the new government in place, we believe that there are certain increased social tension and expectations in the country and also in our Southern Peru. So we continue to monitoring that very closely. And in parallel, we continue strengthening our social engagement strategy by working on initiatives to promote local employment, procurement of local goods and services, investment in social community programs, support of local governments, stakeholder engagement in general.  And finally, we also have another permanently increasing the scope of our award-winning Internet connectivity program for 13 communities, making sure that the service is better and better as days pass. So this is the interaction.  So let me now hand the presentation over to Ramón Barúa, so he can give you some detail on our financial -- interim financial results.
Ramón Barúa: Thank you, Ignacio. Scott, just to check that we are on Page 7 of the presentation, please with the P&L. So I mean we're very happy with this first half of the year. Operationally, the company is clearly almost back to normal despite still, of course, applying several COVID-related protocols. But essentially, the mines are all performing at full speed. And the comparison with the first half of 2020 is rather unfair because that first half of last year was, of course, a period that was most heavily impacted by COVID.  So you can see that revenue for the period almost achieved $395 million. Not only did we had more volume as last year, but also silver prices were much higher. Gold prices were pretty much the same, still a little bit higher, but silver went up from $16.6 was our average price for the first half of 2020. And in 2021, that number was $27.2 per ounce of silver. Our costs were well controlled, leading to a gross margin increase from 36% to 43%.  Administrative expenses are also trending back to normal, though we see a slight increase versus last year, but most of that is related to worker profit-sharing calculation that is directly in line with the higher prices that we are seeing in the market. Exploration execution has increased at all operations, notably at Inmaculada. We'll talk a little bit about that, and that's associated also to the discovery that Ignacio mentioned. Also greenfield activity has picked up in the period.  Other expenses were higher. There notably, we had a voluntary redundancy program in Argentina, aimed at replacing nonlocal workers with workers from the province of Santa Cruz, where we operate. Finance costs were higher, really. I mean there is no increase in the interest rate we're paying. As you know, we have a fantastic rate of LIBOR plus 1.15% in our main debt facility but there was a loss that is booked as finance costs associated with acquiring dollars in Argentina. As you know, not too easy and not too available these days. These results led us to a profit before taxes of $97.8 million, and we've calculated an effective tax rate of 61.1%.  Of course, the statutory tax rates in Peru and Argentina are much lower than that. So the difference is explained primarily due to 3 impacts. The first one is the devaluation in Peru and Argentina. Because, you know, in Peru, due to some political noise, the exchange rate has moved up from around PEN 3.6 per $1 to PEN 3.9 by the end of the period. And in Argentina, from ARS 0.83 to ARS 0.95 also for the period. That affects our tax basis both in Peru and Argentina that are denominated in local currency. So those evaluations do affect the deferred income tax asset that we have.  And also importantly, in Argentina, the government raised the corporate tax rate from 30% to 35%. And the impact of that increase also needs to be brought forward. So it affects not only the current tax, but also the deferred tax. We paid also higher royalties and special mining tax in Peru. As you know, as operating margins increase, we have a higher scale, higher rate, and that also impacts the tax calculation. So without those effects, really, the tax calculation would have come at 31.7%, which is much closer to the statutory rate that we have in these countries.  After all of those effects, the attributable net profit to Hochschild shareholders was $42.1 million, representing $0.08 per share. All of this on a pre-exceptional basis. We did book around $14 million of COVID expenses that for this year are continued to be booked as exceptional items.  If we move to the next page, what we have is a cash flow cascade, but I think I like this slide very much because it represents very well, you know, the activity that has been transpiring through the year or through the half year. On the left, you can see that we started the period with $232 million in cash. And that our 3 operations Inmaculada, Pallancata and San Jose, all of them generated very positive cash flows. The cash flow that you see here are a calculation that results after including all CapEx, including infill drilling. Also, brownfield and admin, as I mentioned previously, back to normalized levels.  So after operations and admin, we generated $145 million, bringing the cash to $377 million, and we used that cash to repay debt, to pay interest, to pay taxes, of course, to pay dividends to Hochschild shareholders, to pay dividends to our partner in Argentina, McEwen Mining. We invested $7 million in our BioLantanidos project.  Then we have two categories, which are the unabsorbed fixed cost and COVID response costs, both of them are temporary and associated to the virus. So as vaccinations continue in Peru, and we go back to normal, we believe that these 2 items are going to almost fully disappear. We had mine closure costs and current maintenance. And we had working -- negative working capital for the period primarily associated with the fact that we couldn't ship all of our material. We're seeing some difficulty in finding containers for international travel or commerce these days, and that put a little bit of pressure. We hope that this is going to be temporary as well, and it's also associated with COVID protocols in the different ports, not only in Peru but also in the world. So that brought us to a cash position at the end of the period of $257 million.  Next slide, please. So as Ignacio mentioned in the introduction, we were very pleased to achieve an all-in sustaining cost for the half of $13.2 per silver equivalent ounce. The 3 main drivers of the cost, as you know, are CapEx, production cost and grades. CapEx was temporarily lower due to lower execution in mine developments in San Jose and some infill drilling in Inmaculada that will happen in the second half of the year.  Production costs were also well kept. We had a higher mechanized mining in Inmaculada primarily also due mostly to temporary factors. That's why we're not necessarily changing the guidance for the year. We believe that there is -- we still believe that, that is the best assumption that we have for costs in 2021. We did put through also some low-cost stockpiles in San Jose. And of course, the devaluation that has affected the tax has also affected the cost, I would say, in a much more relevant manner.  So we're seeing that benefit both in Peru and Argentina. And in terms of grades, we saw a higher-than-expected grades in Inmaculada, but they were offset by lower grades, both in Pallancata and in San Jose. This all-in sustaining cost calculation, I did want to emphasize that do not include the external items associated to COVID and also the unabsorbed fixed cost of $6.2 million, which are part of our cost of sales, but not of our cost of production.  In the next slide, please, you can see at the top of the chart on the left that our guidance for CapEx continues to be $120 million to $130 million. This half we incurred in $57 million of CapEx expenditures. So as I mentioned, not quite at the half point, but the rest is expected to happen in the second half of the year.  On the chart on the right, you see also that our exploration expenditure has picked up significantly from last year, of course, again, due to the release of COVID restrictions. And notably in Inmaculada, so -- and in Greece, we're very excited about the prospectivity of Inmaculada. There are lots of targets, and we are not being shy about pursuing them.  Greenfield also saw a pickup. Most of our projects abroad are starting to pick up speed. So that is also reflected in the expenditure in exploration. We ended the half with $21.4 million spent in both brownfield and greenfield. In the next slide, please, we see as a summary of our balance sheet. I mean, the financial position continues to be very, very strong. Cash continues to accumulate in the balance sheet. The net cash position is right now $51 million, up from $22 million at the end of 2020. You can see that our debt profile continues to be very comfortable. We expect to start repaying debt next year, and we have equal payments in the next 3 years as well.  And coming to the topic of dividends, you have seen that we have not been able to announce a dividend as we speak with this announcement because shortly before today's announcement, we became aware of a technical noncompliance with U.K. law relating to these dividends. Regrettably, a number of historic dividends were paid at a time when Hochschild Mining plc, which is the specific parent entity, having sufficient distributable reserves. So now we have a plan to first pay a dividend as early as possible through a capital reorganization at a subsidiary level. So we anticipate to announce this interim dividend by the end of the month. That should be rather easy and quick to accommodate. And second, we will be organizing a shareholder meeting in due course to rectify the position on historic dividends and to relief shareholders and directors of any associated liabilities.  With that, Ignacio, I pass the presentation back to you. And at the end, I'm ready to take any questions. Thank you.
Ignacio Bustamante: Thank you, Ramón. So if we can please move to Page 13 of the presentation. So we have our operational update. As Ramón mentioned, all mines are currently operating normally. We showed a very strong H1 recoveries since the COVID-related stoppages in 2020. We continue maintaining our very strict protocols in all our operations. And probably operation that is suffering the most right now for COVID-related matters in Argentina, in which still strict restrictions for movement of people remain in place. However, as Ramón also mentioned, we continue estimating that we're going to be able to reach our production guidance for the full year.  We are on track for our 2021 guidance with the production, as I mentioned, with all-in sustaining cash flows as well CapEx and brownfield and greenfield expenses as well. So we do expect that the strong free cash flow generation will continue during the second half of 2021.  Moving to the next slide, slide -- Page 14. Our growth strategy remains intact based on 4 pillars; brownfield, greenfield, early-stage projects and strategic alliance. The first one on brownfield, the focus to continue increasing life of mine, which we're in the process of achieving, improving the quality of the resources as well and trying to use as much as possible the spare capacity that we have available. On the greenfield front, we continue streamlining our portfolio of projects in the Americas, continues taking high-quality properties and progressing 4 to 6 projects per year in terms of being -- 4 to 6 different projects in 2 to 3 different countries.  On early stage projects, we continue to optimizing our real estate projects, namely Azuca, Cresco and Volcan working both from the geological and the technical standpoint. And we continue advancing our BioLantanidos deposit as well, and we'll talk a little bit more about that as well.  And finally, on strategic alliances or acquisitions, we continue looking at those opportunities as long as they fit our criteria, which is early stage, significant geological potential, highly value accretive and that we can control the asset.  Moving to next slide, Page 15. As I mentioned in my introduction, we have had a fantastic first half of the year in Inmaculada. We made a very important discovery in Angela North. This discovery has a strong potential to improve the average quality of our resource base. What we have found so far is a little over 400,000 ounces of gold equivalent material with an average rate of 10.6 grams per tonne. And those are coming mostly from Angela North with some contribution from Angela Connection and Juliana South.  We continue drilling that area. We continue drilling Angela North. We continue drilling Juliana, both from an inferred resource and an infill drilling as well to try to take these resources as possible to reserves before the end of the year. So the drilling continues in Juliana, Angela East and Huarmapata and we have also other very attractive areas that we are just waiting for the final permits expected for Q3 of this year, which are Minasucho and Lineamiento 3.  And we have also the area that you can see in the map in the bottom side called Inmaculada East that we're just waiting for the permit, which we expect by the end of the year or early 2022 with the goal of starting to drilling them in Q1 of 2022. So still plenty of potential and fantastic results in Inmaculada.  Moving to next slide, Slide 16, Pallancata. We continue looking to expand the life of mine of Pallancata. You may recall that we managed to secure production for Pallancata for 2021 and 2022. We are continuing to look at our current resource base to see if we can extend the life of mine even more with the resources that we have. So ideally, something of additional production for 2023 and hopefully part of 2024. So we continue looking at those alternatives. And in the meantime, we're drilling many different areas such as Marco, Pallancata West, Yurika, Pepita et cetera. We just obtained the permits to drill Paola and Luisa so the project will start shortly. And we also continue working on our medium- to long-term projects, which are Corina, Cochaloma and Palca. So still plenty of opportunities in Pallancata that we intend to evaluate and deliver in the upcoming months.  In the case of San Jose, Page 17, we also have a very good beginning of the year with the first half allowing us to find 7 million ounces of resources of almost a kilo of silver equivalent material found particularly at Calandria, Esmeralda, Escondida and Isabel, which are all of those structures very close to the current operating area, which is very positive.  We have also many targets for the second half of the year that includes San Jose Sur, San Jose West and Saavedra. The drilling campaign is aiming to prove the extension of existing veins such as Pilar, Frea, Micaela and also hopefully try to find additional structures.  You may recall that we did this Titan geophysical work that Titan has already brought us 2 successful targets, which are Betania and Emilio veins. And we have also high expectations for this Betania information is a vein that could extend for a 2-kilometer trend in Northeast. So still plenty of areas and targets to drill in the second half of 2021 to complement the fantastic result obtained in the first half of the year.  Moving to Page 18, opportunities to deliver upside. First of all, the focus will continue to be on the Americas. We have a strong portfolio optionality across all the Americas. We have just appointed a new Vice President of North America, Tom Elliott who is going to be based in Toronto and helping us with all our North American related efforts. We are also increasing the process in North America through our options in Snip for instance, and also in our greenfield -- through our greenfield drilling projects.  And regarding Snip, we are in the process of doing the due diligence, as I'll explain later, with the goal of making a decision before the option expires in October. We're also developing our near-term projects significant potential in our former mines and near-term projects in Southern Peru Cluster. We are currently drilling at Arcata, Azuca and Crespo. We continue doing optimization work for our Volcan project in Chile, and of course, advancing at a very strong pace in our BioLantanidos rare earths project in Chile.  And finally, on the greenfield program. We have many projects -- greenfield projects in the U.S., in Mexico and in Peru. We are currently focusing on North America or North American opportunities also to focus on diversifying a bit our geographical risk. And we are also in discussions with partners on 7 additional prospects in the U.S. to be drilled, hopefully in the coming months and years.  Moving to the next page, Page 19, we talk about Snip. Snip, as you may recall, it's a past producing company in the Golden Triangle in Northwest British Columbia, Canada. We have an option to acquire 60% from Skeena Resources. The option expires in October 2021. In the past, between 1991 and 1999, Snip produced over 1 million ounces with an average grade of 27.5 grams a fantastic grade.  The company has been working on Skeena, doing geological work. And they announced in July 2020 and made a resource of about 650,000 ounces with an average rate of between 13 to 14 grams. And after that, the company has continued doing a very important drilling work. So we're in the process of doing our own geological model, doing our own due diligence with the goal of being able to make a decision before October of this year.  Moving to next page, Page 20. We have our BioLantanidos rare earths project. As you may recall, this is one of the few heavy rare earths projects in the Western World in Chile. It is an iron adsorption clay deposit, like the ones that you mostly can only find in China. And those still to be low-cost sources of rare earth globally. This project has a very special concentration of the high demand rare earths such as neodymium, praseodynium, dysprosium and terbium.  We have done very good progress in 2021. We have put pretty much all the focus on delivering the first model of production, working on the engineering for the first 500 hectares, developing the mining plan, working on improving as much as we can the metallurgical recoveries.  We're expecting shortly the results from the PEA and the environmental permitting is also in its final stages. So we are looking forward to Capital Markets presentation by September 8, and we expect to give you significantly more detail on this very attractive project.  Moving to the next slide, Page 21. We believe that Hochschild remains a very compelling value proposition for shareholders. You can see that compared to our peers, we seem to be among the lowest in terms of valuation. When you take a look at the price earnings and the EBIT to EBITDA ratios, we are on the bottom of the list. While on the other hand, when you take a look at our free cash flow yield and our dividend yield, we are among the best in the industry. So we believe that based on this and based on all the different considerations that we have mentioned, we currently present a very compelling value proposition to shareholders.  And finally, on the last page, on Page 22, as a conclusion, we are showing very robust operational recovery from 2020 following the COVID-19 disruption that we experienced last year. We're on track to achieve the production for a guidance for 2021 and also our cost targets. We expect to have for the year a very strong free cash flow generation. We are very excited with our brownfield program, and we have already added a material amount of resources in the first half of the year, and we expect to continue doing so during the second half of 2021 as well. We have attractive optionality in greenfield, early-stage projects and also on our M&A strategy. And as I mentioned, we are looking forward to a very exciting Biolantanidos rare earths presentation on September 8, 2021.  So with this, we'll finish the presentation, and I would like to open up to any questions that you may have.
Operator: . Our first question comes from Daniel Major with UBS.
Daniel Major: A couple of questions from me. First, on the production side, two strands to it. You mentioned sort of the drilling efforts at Pallancata, but when we look at production in 2022, can you give us any sense or direction on the rate throughput at the mill and the production outlook? Would you expect to be able to hold production at a similar level, 5.5-ish million ounces of silver equivalent next year? Or will production start to decline due to depletion of reserves? That's the first question.
Ignacio Bustamante: Yes, as you can imagine, when the mine is in its later stage and the geological data tends to be a little bit less exact. And what we can -- what we are seeing right now is that the production for 2022 is going to be somewhere between 4 million to 5 million ounces. Hopefully, we're going to try to take it as close as possible to 5. But as you may recall, we have done hedging for 2021 and 2022 for 4 million ounces each year with a goal of securing this production plan. So I would say at the very minimum, it's going to be 4 million ounces, but hopefully, it's going to be more than that. How much more is going to be highly dependent on what we end up finding based on the geological models that we have and the work that we are going to be doing there.  Sorry, what I can tell you, Daniel, is that based on this, all the ounces that we're going to be producing in Pallancata based on this has are going to be also profitable or very profitable ounces.
Daniel Major: Okay. And then Inmaculada, you previously spoke around lifting throughput, to I think, 4,200 tonnes per day at some point. What's the strategy around debottlenecking the plant is the scope to lift throughput and production in 2022, 2023 basis, what you're seeing in terms of your exploration efforts?
Ignacio Bustamante: Yes. What I can tell you on Inmaculada is that this discovery which have made in Angela North East has been fantastic. You can see that the grade is much higher than the grade that we're currently mining in Angela. So that is going to be a fantastic addition to the high quantity but lower grade resources that we found in 2018, 2019 in the Millet, Divina areas. So our goal is try to have a balanced production between Divina, Millet and Angela North East and hopefully, whatever we can continue finding in that hybrid area to try to take a balanced production approach similar to what we are having right now.  So at this point in time, we have no plans for the capacity increase because that would allow us to maintain the production. Having said that, we are also evaluating this ore sorting project that could allow us to significantly upgrade the grades in Divina, Millet and those areas by putting the -- all the material with lower grade through this or sorting technology in which we can separate the lower quality material and just into the plant, the higher grades.  So if we are successful in that effort, we wouldn't have the need to increase the capacity of the plant to have the uplift in production in that area of lower grades of Divina, Millet. So that is still a moving target, but what I can tell you is that the discovery that we have had in Angela North East has been fantastic and is going to allow us to get closer to historical production rates in Inmaculada. And of course, with still significant upside to come from further drilling work.
Daniel Major: Okay. But to summarize that, the upside is probably more in the grade than lifting throughput, correct?
Ignacio Bustamante: At this point in time, more, I would say, more in the discoveries in the new resources and on the ore-sorting technology rather than increasing the capacity of the plant, yes.
Daniel Major: Okay. Great. And then next question is around the political backdrop in Peru. Clearly, the debate around taxation more broadly, Peru, Chile continues. Have you had any dialogue or substantial dialogue with the new government? How do you comment and relate to the risks associated with, in particular, potential taxation changes to the sector?
Ignacio Bustamante: Sure. It is still early to say, Daniel. We personally have not met with authorities. We know that the National Mining Association in Peru has already met with authorities. Their impression has been positive and Mr.  somebody that is interested in promoting the mining activity. He has also verbally mentioned that he wants to be a channel to reduce or eliminate the bureaucratic barriers that may exist and it has been publicly quoted about promoting and being enthusiastic about certain investments for the country.  So in addition to that, the appointment of Pedro Frank as Minister of Economy, the fact that Julio Velarde will remain as Chairman of the Central Bank. I would say those tend to be relatively positive indications. Regarding potential additional taxes to the mining sector, they have also been vocal about that. So we believe that a conversation and a negotiation will come. And what we're doing is we're coordinating all efforts in the sector through the Mining Association so that whatever the negotiation on the final outcome is something that is workable and is a good long-term solution for both the companies and the country.
Daniel Major: Okay. But yes, any -- I mean, any indication around time line of any negotiations, discussions? I appreciate it's early days, but any more color on that?
Ignacio Bustamante: No indications on timing. But I would say based on the priorities established by the government, Daniel, I would expect that's something that is going to be probably Q4 of this year. The new cabinet has not even formed. They are going to be presenting themselves to Congress on August 26. So I would say probably we're going to start seeing more details after the cabinet receives the approval of the Congress. So most likely it's going to be for Q4 of this year.
Operator: Our next question comes from  with Bank of America.
Unidentified Analyst: I have a few questions. My first one is to do with the Pallancata costs. So the H1 AISC overshot the guidance range slightly that came at about $17.3 per cell equivalent ounce that the range of $16.8 to $17.2. And in addition, the cost commentary on Page 7 of the release says that this is expected to substantially increase into H2. So can you explain how you still plan on meeting this guidance range?
Ignacio Bustamante: Sure. What I can tell you on Pallancata is that when we did our original guidance for the year, we focused on the production mostly for 2021, which is what we had at the beginning of the year. Then after that, we approved a new budget for Pallancata based on these hedges that we made at $27 for 2021 and '22 that would allow us to get production for 2022 as well profitably. Those additional ounces that are going to approach for 2022 came associated with additional CapEx in Pallancata for mine development that we're having to do this year.  So that's why we mentioned that Pallancata costs having higher in the first half of the year. And also, we're going to continue seeing the those money development for the second half of 2021. But still, we believe that even though those CapEx for Pallancata are going to increase for the second half of the year as well, we do believe that with all the other benefits that we're seeing in Inmaculada, in San Jose and also with a positive exchange rate impact that we're seeing in Peru, we are going to be in a position that the overall guidance that we have given to the company is going to be achieved.
Unidentified Analyst: Okay. And then in terms of the other operations, again, the cost commentary set that you're going to see slightly higher costs. And is this again to CapEx? Or are you seeing any inflationary pressures?
Ignacio Bustamante: No, I would say we are not seeing yet any major inflation-related cost components. I would say to the contrary, what we are seeing is a positive impact on the exchange rate. So that is what is allowing us to have this additional mining development cost and still maintain the guidance. So no inflation pressures yet.
Unidentified Analyst: Okay. And at Pallancata, just going back to that, do you have any guidance or any estimate of what the exploration CapEx is going to be over the next 2 years?
Ignacio Bustamante: Not yet, not yet because we continue working on that. Our goal is not to finish in 2022 but also try to come up with additional profitable resources from our current resource base for 2023 and hopefully, part of 2024. We have already identified those areas and we're currently working on a mine plan that could allow us to produce profitability from those areas.  If that is the case, then we may need to approve some additional CapEx for this year as well. So that's something I would say that is going to be probably the subject of an update either at the end of the year or if we have it earlier, it's going to -- we can probably do it when we announce our Q3 results.
Unidentified Analyst: Okay. And my last question is, can you give us some more color on the sort of political and COVID situation in Argentina? And what are you doing to control this? And what is your worst-case scenario?
Ignacio Bustamante: Yes. The case of Argentina, we hope that we are already in the worst case scenario because there's still a lot of restrictions continue in the country and a lot of protocols and testing requirements and that sort of things remain in place that I would say at this point in time, in our view, they are probably too much based on the actual situation that we're seeing in the country. It is a country that situation also has been progressing positively. The vaccination rate has accelerated materially. Right now, we see the percentage of vaccinated people is much higher than in Peru, for instance. However, the protocols are much stronger.  So that is preventing us to have critical people for the operation that cannot go to the mine because of travel restrictions. So we do expect that, hopefully, in the upcoming weeks, that situation gets corrected, the government updates the protocols based on the new better COVID situation in the country and that could allow us to have the people that we need and also have some relief in terms of the costs associated to maintaining these COVID protocols. So I would say the country is moving in the right direction. Let's hope that the new regulations also and protocols adapt quickly to this improved situation.
Operator: Our next question comes from Tyler Broda with RBC.
Tyler Broda: Just two questions from my side. I'm sorry if I missed this earlier, but just in terms of Inmaculada, you've got the new ounces that have come through. The grades, obviously, at 10.6, I guess, higher than where the current reserve is and what you're mining. When should we expect that material to sort of come through? And sort of do you have any targets on how much more can be delivered over the next sort of 12 months? And then my second question is just on the Snip option. Is it a specific day you get to choose? Or can you choose at any time heading up into October? And if that's the case, then why do you -- what are you waiting for to make the decision?
Ignacio Bustamante: Thank you, Tyler. Let me start with the Snip. Snip is our option. It expires in October, but we can exercise it at any point in time. What we have done is we have started a due diligence process to make sure that everything is satisfies our understanding and our expectations. We expect that due diligence to be completed by September of this year, end of September. So once that due diligence is completed, then we are going to be in a position to make a decision. So we should be finding time. And as soon as we're ready, we are in a position that we can make a good decision.  Regarding Inmaculada, these additions that we have shown in the first half of the year are in the process of being infill so that we can turn them into reserves by the end of the year or as much as we can by the end of the year. In addition to that, we continue doing additional drilling to find more inferred resources.  So we do expect that those will be converting to reserve at the end of the year. So we should have a material improvement in our reserve, grades and reserve ounces by the end of the year as well. And on top of that, we do expect to continue finding additional inferred resources.  Regarding the timing to production, I would say, since these are relatively new areas close to operations that are relatively new areas, we need to work on the development of those. So most likely, for 2022, we're going to see very little impact of these new areas. And the biggest impact is going to come starting in 2023 and 2024.
Tyler Broda: Okay. And just on Snip, is October 31, is that the date? Or is it just another day in October?
Ignacio Bustamante: No, I understand it's October 31.
Operator: . Our next question comes from Ian Rossouw with Barclays.
Ian Rossouw: Apologies if you have already addressed the questions in the discussion, but just on the CapEx guidance. I don't see the $7 million for the ore sorting plant in the guidance. Is that still going to continue this year?
Ignacio Bustamante: Yes. The ore sorting is still in the pipeline. We are currently working on finishing certain things related to the permit for the ore sorting plant and we are still doing some adjustment on the engineering work. But our goal is to continue as quickly as we can with that.  We have a final review of the project at the end of August of this year. And once that is ready and once the permitting is adjusted, we're going to go at full speed with the project. So that is the status on that. We continue to be very excited about the prospectivity of that plant.
Ian Rossouw: .
Ignacio Bustamante: Sorry, you're breaking up, Ian. I cannot hear you very well.
Ian Rossouw: So there's a chance that some of that $7 million will be carried over into 2022, depending on timing of the spend.
Ignacio Bustamante: That is correct. Yes.
Operator: I am showing no further questions at this time. I'll now turn the call back over to Mr. Bustamante for closing remarks.
Ignacio Bustamante: Thank you very much, Katy. So thank you very much, everybody, for participating in this call. We thank you very much for your time. And should you have any remaining questions, please feel free to contact directly Charlie Gordon at our London office. Thank you very much, and have a great day.